Duncan Tatton-Brown: Good morning, everyone, and thank you for joining us today. Before we move into the 2025 results presentation, I'd like to begin by marking an important moment in the evolution of Oxford Nanopore. As previously announced, today, Gordon Sanghera steps down as Chief Executive Officer after more than 2 decades leading the company he co-founded in 2005. Under Gordon's leadership, Oxford Nanopore has grown from a bold scientific idea into a global platform technology company, serving customers in more than 125 countries across research, clinical, biopharma and applied industrial markets. On behalf of the Board, I would like to thank Gordon for his incredible vision, determination and commitment in building the foundations that position the company strongly for its next phase of development. He will remain with the company in an advisory capacity through to early 2027 to support a smooth and orderly transition. Today, also marks the first day of Francis Van Parys as CEO of Oxford Nanopore. Francis joins formally the company this morning. He's spending today in Oxford, meeting the team and therefore, will not be with us today. We look forward to introducing him to many of you in due course once he's had the opportunity to engage more deeply with the business. The Board is pleased to welcome Francis at this important stage of the company's evolution. His experience in scaling innovation-driven life sciences businesses, particularly within regulated and commercial environments will support Oxford Nanopore's continued development. The Board remains focused on maintaining our support for leading-edge science, driving strong growth across our priority end markets through disciplined execution and delivering sustainable profits as the business continues to scale. With that, I will hand over to Gordon and Nick, who will take you through the financial and operational highlights for 2025. Thank you.
Gordon Sanghera: Good morning, everybody. It's been a 21-year journey for me. Spring of 2004, I started looking at Hagan Bayley single molecule stochastic sensing. I had to go and check in the dictionary what stochastic meant, but I got the hang of it. The more I looked, the more excited I became that we could potentially deliver a new method of measurement. That doesn't happen very often for chemical and biological single molecules. So we were spun out in 2005 with GBP 0.5 million from IP Group, at that time, Dave Norwood, over a pie and a pint. It was just stunning that somebody would put that much money in -- on an idea, a concept. The company's vision from the outset was to enable the analysis of anything by anyone, anywhere. And I would say that is a work in progress. I think the proudest thing I've seen and the coolest thing I've seen in this technology is NASA taking it up into space, slated to go on the Artemis mission as well, very proud, but also Project NEEMO, which is NASA, going down into the depths of Mariana trench, and finding over 7,500 new species in extreme conditions, which kind of tells us there is life out there somewhere, which is exciting. So our first application area is DNA RNA. We're now extending that to proteomics and you'll hear more from Lakmal at London calling. I will be there as well. But we also have the potential to measure small molecules, chemicals, metabolites, volatile organic compounds as well. So this platform has a lot more to give over the coming years. So I want to show some slides, I guess. That is our vision. You've seen that plenty of times. And as I say, we're just at the beginning of this journey, lots more to come. We launched our DNA products 10 years ago. And our direct RNA product approximately 5 years ago. As Duncan has just said, we are today in over 125 countries. We have over 1,300 employees and we opened our factory because we had a bold ambition from the outset that we would deliver a tech company in the U.K. that would manufacture in the U.K. So our consumables, flow cells and revenues are manufactured in our factory, which we built with an ambitious growth trajectory, which means over the next 3 to 5 years, as we grow, we will be able to meet those demands for our consumables. The key metric on this slide is the fact that in 10 years since we launched our first products, we have 20,000 publications. That is a phenomenal beat rate. And that decade of innovation underpins the unique value proposition and what this single molecule measurement platform delivers. There is no other company in this space, in our competitive space that sequences direct DNA, RNA. This body of work is a foundation for our growth. And since IPO, I'm proud to say we have grown 28% CAGR. And that is a testament to the unique things and a multiomic direct sequencing of DNA, RNA that can only be enabled by Oxford Nanopore. Again, 2025 was a great growth year for us. We grew 24% on a constant currency basis, which is 1% above our top end of our guide, 23%. We have, across all regions, in a tough market where the competitors in the last 3 or 4 years have seen low growth, no growth or negative growth. We delivered 20% growth across all of our regions. 70% of our revenues come from our flow cells and kits, which are manufactured in [ Didcot ]. And we've been financially disciplined this year. We have just over GBP 300 million in cash and cash equivalents, leaving us well poised to build on our ambitious growth trajectory. And as we set out in capital markets a couple of years ago, we would be transitioning from revenues entirely from life science research tools to our applied end markets. In 2025, life science research tools, which accounts for 66% of our revenues today, grew 15%. Again, to reiterate that is outperforming competitors significantly. Our strongest growing applied end market was clinical at 59%. BioPharma, came in at 30%, and applied industrial 27%. Year-on-year, that grew from 30% to 34% and is broadly in line with what we thought we would hit at capital markets a couple of years ago and is a testament to the maturing of the platform for our applied end markets. Why are we growing substantially? It's not a fluke. We didn't get lucky. 20 years ago, we realized that single molecule electronic detection of biological polymers could be transformative. And what we deliver with this platform, and we are the only company in the world who does this, including the other Nanopore people, we read direct DNA, and we can read short hundreds of bases, long tens of thousands to hundred thousand bases to millions of bases ultra-long. No other tech does that. We are not just a long-read company. It's that native DNA that makes us highly differentiated. We do this in real time, live streaming because the sample preps take hours, not days. All other sequencing platforms take days to prep their samples. We do not have to batch, which means we can get rapid insights in point of care in distributed affordable, accessible platforms. It is 1, 2 or all 3 of these attributes that are driving that strong growth, both continuing to, in our life science research tools market for translational and discovery work, which is a foundation then for the applied markets. So I want you to remember that this technology is driving adoption, and we are very early in this journey. And I'll talk a little bit about Francis at the end, but I'm excited to be handing the baton on to him. And I will now pass over to Nick, who will get into details and talk about outlook for 2026.
Nicholas Keher: Thank you, Gordon. So good morning, everyone. My name is Nick Keher, I'm the CFO of Oxford Nanopore. Today, I'll be updating on our FY '25 financials, outlook and operational performance. So FY '25 was a year of both delivery and further transformation in a year of volatility. We delivered revenue growth of 24.2% at constant currency, marginally ahead of guidance of 20% to 23% set in March 2025. With over 20% growth in all regions on a constant currency basis and a return to growth across the MinION range as previously guided to also. Reported gross margins finished broadly in line with guidance and in spite of numerous headwinds, some of which that should not repeat, and with a see-through gross margin of closer to 61%. Adjusted OpEx growth of only 1% reflects strong cost control of the period and 2 restructuring events. One in January previously discussed to allow for the reallocation of capital to higher growth opportunities. And another in November that related to a strategic realignment exercise to align the business to these high-priority end markets. As a result, we improved our adjusted EBITDA loss by GBP 31.2 million or 26%, which is a material step forward in our path to profitability. We finished the year with GBP 302.8 million of cash with no debt, demonstrating a material improvement in cash conversion as we made improvements to our business model and focus on working capital. and continue to see minimum cash of at least GBP 100 million as we pass through adjusted EBITDA breakeven in '27 and cash flow breakeven in '28. Turning to gross margins, the year reflects a solid improvement overall and in line with our original guidance of 59%. From a base of 57.5% in FY '24, we delivered underlying improvements of 460 bps, driven by the new CapEx-first pricing model; and two, yield improvements, particularly on the PromethION flow cell. Whilst we saw benefits from improving recycling on the PromethION flow cell, these were largely offset in the year by lower levels of recycling overall at MinION flow cell. From this position, we then saw headwinds of FX of 70 bps, the previously discussed one-off items related to obsolete inventory of 150 bps are not set to be repeated and product and customer mix headwinds of 130 bps. This provided a reported gross margin of 58.6% overall. Within this, we also took the charge related to restructuring in the year, related almost entirely to the ElysION product line of GBP 1.8 million or 80 bps. Absent this, the margin was 59.4%, and absent the one-off items taken in half 1, the margin would have been 60.9%. We think this is the right figure for investors and analysts to look at as we enter FY '26, noting we still have a number of upsides to improve margin further in FY '26 and '27, namely on PromethION flow cell recycling, as we also continue to see further benefits from the change of the pricing model. The strong top-line growth and improvement in gross margin has been matched by discipline on the cost base, which saw an increase of only 1% to adjusted OpEx year-on-year. This meant we delivered a 26% improvement year-on-year to EBITDA, a total of GBP 31.2 million, with GBP 18 million of that coming in the second half, which itself showed a 32% improvement. Stepping back, we have now delivered an adjusted EBITDA improvement each half since the beginning of FY '24, and we believe we have a solid path to achieving breakeven in '27. It is also worth putting this into the context of the top line and gross margin headwinds we have seen from a currency perspective, which have now reduced our adjusted EBITDA figure by GBP 9 million since January '24. We will deliver breakeven through continued above-market revenue growth, consistent with what we've delivered historically and are set to in FY '26, but with continued cost control of the cost base. In particular, we see opportunities to improve efficiencies we scale through IT, logistics and internal working practices with non-headcount related expenditures. Turning to cash. The strong operational execution delivered in the year, coupled with the transformation to our business model completed have transferred -- had translated to improved cash conversion. Our operating loss before restructuring costs came to GBP 79.1 million, largely mirroring our EBITDA performance. Restructuring costs of GBP 13.8 million in the year are split GBP 5.2 million in the first half and GBP 8.6 million in the second half from the strategic realignment exercise in November. Working capital was an inflow of GBP 13.4 million, reflecting a meaningful improvement in inventory management with total inventory levels down GBP 18 million in the period. We continue to see more opportunities for improvements as we look forward on this area. Assets at customers came in at GBP 10.1 million, down GBP 10.5 million from the prior year, thanks to adoption of the new pricing model. The second half increase of GBP 4.6 million relates primarily to devices for the U.K. Biobank contract and a small number of evaluation devices provided to customers. CapEx and capitalized development costs of GBP 45.5 million are split GBP 41.5 million on capitalized development and GBP 4 million on CapEx across the business. This low level of CapEx in '25 reflects -- largely reflects timing of investments and significant projects such as the Spectrum Building are now complete. It is unlikely that this level of -- this low level will be repeated again in '26. Tax income of GBP 18.9 million reflects the receipt of 2 R&D tax credits in the year, again, unlikely to be repeated in FY '25. Finally, other investing and financing inflow of GBP 15.3 million reflects the income from our bond portfolio in the year. As such, our net cash outflow finished the year at GBP 101 million, leaving us with GBP 302.8 million in the bank with reducing losses and improving cash conversion from both focus on working capital and the adoption of the CapEx first approach, we continue to see cash reserves of at least GBP 100 million as we pass through breakeven. Turning now to the commercial strategy. In '25, we completed a strategic review to ensure we maximize the broad opportunities in front of us. This process incorporated a variety of perspectives from the inside -- from both inside and outside the group, ensuring we can prioritize the opportunities that best leverage our differentiated technology to create value for all of our stakeholders. As part of this strategic review, we looked at where we have the clearest right to win and where we can scale with discipline. Across research, clinical, biopharma manufacturing QC and other markets, we identified roughly $13 billion to $14 billion of higher priority segments where our richer data, speed and accessibility provide meaningful competitive advantage over peer technologies. We then categorize segments into higher, medium and lower priority, not based purely on size, but on ease of access, differentiation and scalability. This prioritization is now shaping everything internally. Commercial resource allocation, product road map decisions, capital deployment and organizational focus. The result is a more focused, more disciplined company concentrating investment behind the segments that drive sustainable growth and margin expansion. With that context, let me turn to how we action these insights in '25. In terms of our commercial performance, we delivered GBP 223.9 million of revenue of 24% at constant currency, with growth across all regions and all customer types despite challenging end markets. But the quality of growth is what matters here with clinical up close to 60%, biopharma up 30%, applied industrial 27% and research up 15% despite ongoing NIH pressures. That mix shift towards applied end markets reflects the natural pull of our technology to these sectors, supported by our existing investments to support that growth. With our focus now enhanced on these end market segments as a corporation with our operational structures also aligned to enable a strategy, we expect to see further improvements in our commercial performance over time. In Clinical, we saw broader adoption across rare disease and oncology across strategic collaborations such as Cepheid and BioMerieux. In BioPharma and industrial, we supported QC deployment, plasma sequencing expansion and increased PromethION utilization. We also saw strengthened pricing discipline and contracting structures, improving both margin profile and cash dynamics. Growth is increasingly weighted towards higher priority segments identified in the strategic review, and that gives us confidence in both durability and operational leverage as we move forward. Turning to innovation. Gordon has already covered the technical performance improvements in detail at the JPM in January, including advances in output, accuracy and workflow maturity and these improvements will continue at pace. But the key stories of '25 are of prioritization and alignment. Following the strategic review we did last year, we refined the portfolio to concentrate investment behind platforms that best serve our priority end markets. That meant the discontinuation of sales of P2 Solo from June this year and the focused efforts internally on the P2i, pausing further internal development of the ElysION platform and discontinuing direct commercial efforts on the product. Hard decisions, but once taken. Focusing on the core platform and integrated systems such as the P2i and P24, advancing Q-line product lines more broadly across GridION and PromethION. For GridION, we are set to launch a version 2 of the Q-Line product in 2026 that benefits a broader requirement set from our BioPharma customers, whilst on the Prom, revaluation of the time line leads to an updated launch date for late 2027. To ensure our innovation efforts drive greater returns, we are also improving our ways of working internally, formalizing process improvements to ensure greater success. This simplification reduces operational complexity, improves capital allocated discipline and ensures R&D is directed where returns are strongest. So innovation in 2025 became more focused, more commercially aligned and more scalable. On operational excellence. Operationally, 2025 was about discipline and leverage. We delivered continued improvements to gross margin, reflecting pricing improvements, flow cell efficiency and operational scale. During the year, we completed 2 restructuring events to realign the organization, simplify the portfolio and refocus R&D behind our higher ROI opportunities. Operationally, we also advanced automation, expanded manufacturing capability and initiated ERP and CRM transformation to support scalable growth. The result is a structurally more focused business with improving operational leverage. Looking forward, I would anticipate further additions to the executive team to strengthen our capabilities and to support our continued expansion into these target higher priority end markets. Turning to guidance. For FY '26, we are setting revenue guidance of between 21% and 25% at constant currency. This guidance is materially above what we see as end market growth with peers guiding for largely for low to mid-single-digit growth overall. This growth is being driven by growing interest in demand for Oxford Nanopore Technologies products and their desire to see more and do more against conventional legacy sequencing technologies. The low end of the range is driven by the expectation for a continued subdued research environment in the U.S. and specific market dynamics, particularly in China. Alongside this, we have factored in some risk from the discontinuation of the P2 Solo. As always, we attempt to risk adjust our guidance to both set estimates in a place for the year ahead that derisk external expectations. As we look to the top end, it largely mirrors the opposite of these factors and we note the potential to exceed this guidance, should we succeed in converting more customers to P2i, which we believe is a superior product and delivers better results for customers. Regionally, we see growth being strongest in the Americas, driven by continued expansion into the applied markets. EMEAI has delivered consistent, significant growth. But in FY '26, we note the timing of large research end market contracts rolling off and new contracts ramping up that lead us to expect a more cautious growth rate at this point of the year and hence for growth to be lower than in '25. Similarly, across APAC, we continue to see -- to expect above end market growth, but note the expected headwind from the PRECISE II contract ending and specific factors in China, that means this could be a slower growth rate overall. Against our guidance, it is APAC, which could be the surprise factor to the upside. For FY '26, we would like to see how the year progresses from here. By end market, we continue to see growth strongest across the applied end markets driven by clinical and BioPharma again. This guidance has been taken into account -- has not taken into account any of the potential risks to recent events in the Middle East over the weekend. Our current efforts are to keep our own people safe, and our thoughts are with everyone impacted by the events over the weekend as this risk remains an evolving situation. Our total revenues in the region represent around 3% of group revenues but the region also acts as a central point in the global supply chain. So the full impact from these events are arguably unknown at this time. On gross margins, we are setting guidance of 62% this year, 340 bps above FY '25 reported margins, but 110 bps above the see-through margin talked through earlier. We are confident that there are further benefits to margin from the adoption of the CapEx first pricing model alongside improving recycling rates at the PromethION flow cell that looks set to drive further improvements overall and offsetting expected headwinds in terms of product mix and currency. And adjusted OpEx growth, we have set guidance at 0% to 5%, which reflects the expected benefits of the strategic realignment exercise in November and continued focus on improving efficiencies in the business overall. The range itself also reflects the timing of expected hiring across the business. Over the course of '26 and '27 we see opportunities to improve operational efficiency again and through non-headcount-related activities, particularly across logistics and IT. Turning to my final slide on financial outlook and summary. Noting that we are reiterating our medium-term adjusted EBITDA and cash flow guidance targets at '27 and '28, respectively, but with amended constituent drivers of how we will get there. We expect to see this strong above-market broad-based revenue growth in '26 to continue in '27 and at a broadly similar rate. This growth is below the previously set medium-term CAGR of over 30%, reflect a mix of weaker end market backdrop than guidance was originally set and partly on execution, which we will look to improve going forward. We delivered a 26% improvement in adjusted EBITDA in '25 and we continue to see further operational leverage in '26 and '27 to deliver adjusted EBITDA breakeven in line with our medium-term guidance. Given the improving gross margin profile that has accelerated ahead of initial expectations, alongside the restructuring exercise completed in '27 -- completed in -- sorry, and given the improving gross margin profile that's accelerated ahead of initial expectations alongside the restructuring exercises with further operational efficiencies, we continue to see breakeven EBITDA in '27 as reinforced even with a lower top line growth rate. Lastly, as demonstrated today, we have continued to translate our operational performance into real improvements in cash. Our cash burn was down GBP 50 million in the year. With this profile set to continue in '26 and '27, driven by improved losses, the adoption of the CapEx model and supported further by benefits in working capital to come, we continue to see cash flow breakeven in '28 with a minimum amount of cash of over GBP 100 million. With that, and before passing back to Gordon for final remarks, I also want to provide my own personal thanks to Gordon and congratulations on a truly remarkable achievement in building a great company like Oxford Nanopore.
Gordon Sanghera: Thanks, Nick. So last slide now we've got that up. I just wanted to say a few words after 21 years being at this -- at the helm. I've always felt this was a deep tech company. People talk about that a lot. It actually took us 10 years to deliver our first products. We've been in market place 10 years, and we've raised a lot of money and people look at that, and they think the return on the investment is low, but this company will be around in 100 years' time. Already today, T2T genomes are the new gold standard. And you can't get any better than that because it's the whole genome completely mapped. And Craig Venter who is the founder of the original -- driver of the original human genome is out there building that gold standard. So as I reflect on this 20-year journey, it will never work. you'll never make a circuit, you can't stabilize a soap bubble, you can't raise money in London, you can't float in London, you will never be profitable, all these things just made us more determined and this is the right moment to hand over. I've always known this moment will come. This company will be far bigger than any of the individuals. Yet it is each and every individual who in the last 21 years has really believed that we could do something special and different and we have. And it's a really exciting moment. And I'm really excited about Francis' coming in and taking the baton and really helping build this company, taking us to the next level. I would like to thank you all. It's been a blast and the journey, and I'd like to thank the Board, in particular for putting up with me for 5 years. And I'll leave you with this. I'm not retiring. And as David Bowie said on his 50th birthday, I don't know what I'll be doing next, but I can guarantee it will be interesting. Thank you very much.
Nicholas Keher: Questions? Zain? Do you want to say your name and company.
Zain Ebrahim: Zain Ebrahim, JPMorgan. Firstly, just to extend my congratulations to Gordon as well for your legacy and everything that you built here. First question is on the '26 guidance just in terms of the moving parts you talked about it in terms of the revenue guide somewhat, but just to elaborate further in terms of what gets you to the upper end of the guide versus the lower end of the guide. It sounds like P2i Solo is a key driver in terms of conversion, but also geographically, what gives you confidence in Americas outgrowing or accelerating in growth versus 2025? That will be the first question. The second question is on the adjusted EBITDA path to breakeven. You mentioned operational leverage that you can drive, but just potentially more color on where you see gross margin. Consensus is adjusted EBITDA loss of GBP 14 million for next year. So what do you think we as consensus are underappreciating?
Nicholas Keher: So just on the '26 guidance for revenue. So geographically, what gives confidence in the Americas, they've got momentum. And so when we go through our exercise of guidance setting, there's a lot of things that kind of we look at. And in particular, in the non-research markets, when I look at the pipeline coverage, when I look at the sheer number of customers, that those high profile ones in either clinical or biopharma, they're evaluating, but also there in the hopper to take product on. Yes, I think we've got confidence in the Americas market and that we've turned that corner now. It's always been difficult to kind of penetrate the research market in the U.S. for us, and that could be a whole host of reasons why. But the applied markets now has kind of got there quicker. We've talked about the fact that over 50% of the revenue in the Americas is now coming from those applied markets and that looks set to continue. So it's a different type of customer buying the product, they're getting to scale and they're driving the growth. On EMEA, we talked about this in the statement, but if I look at even the 5-year historic CAGR for EMEA, it's been a hell of a performance, and the team have done a great job in terms of like how they've delivered that growth consistently year-on-year. When I look to this year, we have a couple of contracts that are rolling off that we talked about, like NIHR, like GL 2.0. We have the U.K. Biobank contract that's coming in to help to offset it, but that means a proportion of revenue is essentially static for the year. And so there's kind of a piece there that we've just got to kind of factor in. And so it might just be -- we're expecting it to be a lower growth year overall. As always, we try and set guidance prudently as well. And now for APAC, this is probably where there's a bit more of a wildcard factor at play. And we are seeing conversion, particularly in specific markets to clinical that is actually quite encouraging. So adaptive sampling is making material inroads with certain large customers, particularly in Australia. And there is a healthy pipeline of activity that we're going up. But there is just a timing aspect here for how things ramp up. And we've seen that it can take time for these things to kind of get to the scale we want them to. At the same time, we have precise II that's ended and is coming off. So there's -- those non-China markets, we can see these dynamics at play. In China itself, I think there are a few things happening. So first of all, the export control restrictions haven't got easier. And we have a backlog now of potential revenue to go into that market because of the restrictions in place. We also could recognize that there are -- well, there is increased Nanopore competitors in the China market as well. We've evaluated those technology against our own. We believe our technology is superior, and that's demonstrated by the fact that even the price differential being what it is in that market, you still see high underlying demand for our technology overall, but it is something that is kind of -- has grown over the recent years. And then finally, we think we can do better from an execution standpoint. And China is a substantial part of APAC overall. So we're setting guidance cautiously. That's why I talk about it being potentially surprise to the upside. And hopefully, as we progress through the year, as we improve upon that, and we get greater confidence, maybe we can look again. In terms of product level as well because you asked about the P2i -- P2S piece, so we're setting guidance of 21% to 25% growth. We're putting some risk in there that the discontinuation of the P2 Solo should we not see that conversion to the P2i like we believe it will happen. So when we've done this commercial realignment exercise, we've taken the 47 end market segments we're targeting, the high priority segments overall. We then evaluated the customer demands from requirements, table stakes, like for those high priority segments we're looking at. And what we found is that the P2i is a better fit. The P2 Solo is a very good product, but the P2i is a better fit for the customers overall. And we are going to push the P2i stronger and harder than we have done before because we think our customers are going to get a better experience overall as well. So we've taken a tough decision. We're focusing efforts from a commercial market -- and that's the big C of commercial -- sorry sales, marketing, all of the efforts, application development, workflow development, all of that on the P2i or the P24, so that we essentially get a better return overall for the company and drive faster, more profitable growth. Now there is a risk, though, in the interim that this essentially drives a little bit of a weaker performance as we execute on that. And so my job is to make sure that we've kind of factored that into the guidance overall, and that's hopefully what we've done. Now on adjusted EBITDA breakeven, what's the market missing? If I look at consensus as today and it's updating, previously, the market, I believe, had a question over that top line growth rate. And to be clear, when we set medium-term guidance, it was always breakeven adjusted EBITDA in '27, cash flow in '28 and we gave constituent drivers for the market to kind of model how they would get there. And we also said if the top line growth wasn't achieving what we wanted to, we would actually modulate the cost base accordingly. We've done exactly that. And we've got 2 examples of that in the year just gone. And now through those exercises, actually, we don't need to achieve over 30% CAGR to achieve that breakeven in '27. So hopefully, the market comes away from this going actually, with the new guidance that is out today. Actually, sorry, medium-term is reiterated, but with the updated constituent parts, it's actually a more realistic outlook to achieve adjusted EBITDA breakeven in '27. And hopefully, investors and analysts can start to model that in as well.
Veronika Dubajova: Veronika Dubajova from Citi. 2 questions for me, please. The first one is actually going back to the EBITDA breakeven pathway, Nick. And if you can maybe talk a little bit about the gross margin picture in particular, sort of on my math, you'd need to hit something that's better than 62% that we talked about previously to get to that breakeven. Maybe just give us some color on how we get there in 2027 and what gives you the increased confidence that it's achievable? And then my second question is kind of bigger picture, both for you, Gordon, and for Nick, now that we've had the sort of strategic realignment, you've bedded it down for a number of months now within the organization following the restructuring. Just kind of talk about what are the bits that you're most excited about? How is the organization handling that change and sort of anything that has gone maybe better or worse than you expected? And then finally, congratulations, Gordon, from me as well. We look forward to hearing more from you in your new advisory role, but amazing accomplishment, and I hope you enjoy a little bit of downtime.
Nicholas Keher: Thank you, Veronika. So just on the EBITDA breakeven piece, and focusing specifically on gross margin. So absolutely. What we guided to do today is to a 62% gross margin for FY '26. That's bringing forward the original constituent guidance point of -- greater than 62% in '27. So we're bringing that forward a year. And in the statement, we believe that we'll see continued improvements as going into '27. I think it's fair to assume that, that means for the market to start thinking around 64% for '27 as being an achievable gross margin or perhaps around that level. The reason why we're confident on that is that when we set the original guidance in '24, we did state to the market that -- sorry, we haven't updated the pricing model. The pricing model changes and going CapEx first has clearly had a benefit on the gross margin overall. And so we're updating for that. The piece that's still to deliver a true tailwind, and it will because we're seeing it, is in PromethION flow cell recycling. So in the year just gone, the drop in MinION recycling essentially canceled out the benefit we saw in PromethION. For this year going forward, MinION recycling rate is now at a level actually that will step over that. But with PromethION increasing, it's going to deliver a meaningful improvement to overall gross margins. We've talked about it before, but if the MinION level, if we achieved the levels that we did with the Prom to the Min, then essentially, it could be a 10 percentage improvement -- point improvement on PromethION gross margins overall. We still got some way to go there. So that's how we get there. On the bigger picture piece, would you like to go first, Gordon?
Gordon Sanghera: No, go ahead.
Nicholas Keher: So the strategic realignment piece and parts of that excite. From myself, my opinion on it, I think prioritization of activities will always lead to better outcomes. And so the team, we've got an incredible capability in the business. And because the technology is so good, there's almost so much we can work on. And I think that's genuinely what I mean I've seen since I've been here is just there is so much opportunity for the technology to go on, 47 end market segments, it could arguably go with all of them. I think actually having this kind of focus prioritized exercise completed and saying, well, we're going to have to put down tools here because we're going to focus there is a good thing for the business. And actually, it's going to drive increased efficiency overall because we can have more people working on those bigger projects that are going to move the dial as well. So that's the part I'm excited about. Clearly, going through change as a business, it's difficult, actually. And so I don't want to -- I think it's been hard, actually. And these things take time to work through. But even since the start of the year, people are starting to kind of find their feet again and kind of realign to what that is. Not everybody is there yet as always, but we're working through it. And, I think, we're going to get there.
Gordon Sanghera: I think success can be painful with infinite possibilities, which is what happens when the impossible is made possible. And finite resource, it's a challenge. And the company has quite rightly and is evolving to be much more focused on what are the 5 or 10 big things. We are redesigning the PromethION chip for reuse, which has radical transformative revenue and margin gains rather than, "oh, we can reuse it even though it wasn't designed for reuse." So we are very confident about that trajectory. Adaptive sampling is going to be groundbreaking and changing. This is where the DNA in the first seconds, is red and the sequencer is intelligent enough to decide whether that's a region of interest on target or off target. That means 2 days, $300 to $500 of target enrichment disappears. But in addition, because you are looking at the native DNA, you end up seeing methylation. 2026 will be the year of the methanone, the UK Biobank and the Office of Life Sciences with Nanopore are sequencing 50,000 patient samples. That will deliver the first and most comprehensive 5-base genome. That fifth base is scientifically incredibly important. Now I could go on. The list is endless, but what we've done is targeted 3 to 5 major things, direct RNA with mods, direct DNA with mods, adaptive sampling reuse by design. And all of these major drivers mean that we cannot do all of the things we want to. And that is just a natural transition from being a heavy R company with some D to becoming an appropriate R company but with very much D because of the applied, regulated end markets, which gives us recurring sticky revenues over multiple years and radically change the way people use NGS, these are workflows that only we can enable. All of those are the things that I'm excited about and will drive change and will be important in our growth trajectory.
Samuel England: It's Sam England from Berenberg. And first one, just around the 2026 revenue guide. Can you give us a sense for the cadence of growth in margins during 2026? I suppose, in particular, is there anything from a revenue or cost perspective that we should be aware of in terms of phasing this year? And then bigger picture, can you give us an update on your progress in biopharma QC? I suppose, are you seeing more interest from potential clients here at the moment? And is there anything you can say around the scope for large contract wins during 2026? I know it's something you talked about sort of over the course of '25. And then lastly, just to echo everyone else's comments, Congratulations, Gordon, and best of luck for the future.
Nicholas Keher: Tom, so on 2026 revenue cadence, margins and costs. So as like previous years, we're expecting revenues to be broadly 45-55 weighted in terms of first half, second half as we've seen consistently. So it's good to get -- make sure everybody gets the numbers in the right place for that. And then on margins, I think there's a few moving parts to this overall. But actually, we might see it broadly consistent half-on-half in terms of gross. So very much 62% level, I think, we're kind of aiming for, for both first half and second half. In terms of cost phasing, we have just had the benefit of the restructuring event in November. So you're going to see some benefit in the first half of that as well. So -- but in terms of adjusted EBITDA loss, it will kind of mirror that revenue performance as well. I'm expecting us to show meaningful year-on-year adjusted EBITDA improvement. And well, if people plug through those numbers that we kind of put our guidance today, the market should work out at circa a negative GBP 45 million to GBP 55 million loss for the year as well as adjusted EBITDA, which is, I think, an improvement -- quite meaningful improvement on the year just gone and good against where consensus is at the moment as well. Sorry, on the second one on biopharma QC, Gordon and I have been extremely frustrated with our inability from a commercial perspective to name companies in the space that are working on the technology, but rest assured, things are happening. So in the mRNA vaccine production space, we have signed a contract in that space. We have another one that we're hoping to sign this year. In the sterility space, we have another one that we've talked about previously and in the statement today, which is a large European biopharma that is using our technology and centrally for several sites that it manages. And over time, it should expand out to those several sites as well. So -- and we have a pipeline of companies that are evaluating the technology as well. So in terms of confidence levels, biopharma QC is an area where, over time, we're going to see greater penetration of and there's a big market opportunity for us to win there. It's extremely frustrating that we can't kind of talk about the companies directly who they are. But I'm sure those eagle-eyed analysts out there will be able to go work it out over time. Gordon?
Gordon Sanghera: I think we put out a fee-for-service contract with Eurofins, who they put our contract, doing sequencing in biopharma QC and looking at sterility. In the first 3 weeks, they picked up a customer contamination that saved several millions and that's just an indication of what is going to happen here. They didn't say who it was. But so just -- you can see the glimpses and is frustrating that we've got a great list of partners that we can't talk about.
Charles Weston: Charles Weston from RBC. Two questions, please. First of all, on the guide. You mentioned in the release that 2027 revenue expectations for growth would be sort of similar to 2026. You've mentioned a number of 2026 headwinds that are quite specific to 2026 and in 2027, of course, you'll have a higher base of the nonresearch markets, which are growing faster. So why shouldn't we expect an acceleration in growth in 2027? And the second question, just on a couple of product-specific points. First of all, what is the timing of the Q line GridION version 2? You said 2026, but when should we expect that? And the PromethION 2 genome flow cell or chemistry, when should we see that?
Nicholas Keher: Perfect. So on the guide, so 2027 could be higher than 2026. So it could be. In terms of what we're guiding to today, we're saying that it's going to be a broadly similar rate to what we see in 2026. And for the market, that's all it needs to achieve adjusted EBITDA breakeven in 2027. So that what we're trying to kind of get here is a prudent set of like market expectations that are out in the market as well. You're not wrong that we may see the -- sorry, with the growth in the applied markets and the weighting that it has, I can't -- do we see there being something wrong that's going to slow this growth down over time? No, not necessarily, but we're here to kind of give '26 guidance and how people can get to '27 breakeven and keep that in place. We'll update on '27 guidance explicitly when we get to 2027. On the timing of the GridION version 2, so the second half of this year. And then on the PromethION 2 genomes per flow cell. So actually, in -- with beta testing with customers, we can already demonstrate this. We're just thinking about how we roll this out from a product perspective effectively to our customers, and that's the key piece there. So because it's not just having a flow cell that can do it, it's actually having all of the constituent parts to make it a full product for companies as well. And we've got to be careful here. I don't want people running away and thinking that all of our business will be able to achieve this because for the PromethION flow cell and that focus in particular, there will be certain customer segments that this is appropriate for. So what's the sample type, what's the read length, what is the customer doing with the product. And that's where this will be used in the first instance, and then we need to do further development work to mean that all customers can benefit from this as well. Do you want to add anything to that, Gordon?
Gordon Sanghera: No, I think it's really important that there's this terrible thing going on with all the other competitors in a race to the bottom for whole genomes. This is not what this is about. We have applications in biopharma and clinical and other application, applied market applications -- of applications in there, where that throughput will be competitive with the incumbents, and that's where we will deploy it. Everybody does not need that overcapacity. So this is a really good example of how we are becoming much more mature as a business and thinking about target customers and how we can stratify them appropriately. Somebody else somewhere else wants a much lower throughput, but a much higher accuracy. So it's just starting to really segment the markets, and we're at the beginning of that journey and then targeting the right products in our portfolio to meet that.
Charles Weston: Congratulations, Gordon. Best of luck in your new endeavors.
Unknown Analyst: And a couple of sort of more specific ones. Just wondering in terms of the MinION recycling decline. Just wondering what was behind that?
Nicholas Keher: So nothing untoward, I think is the key piece. So for the MinION essentially, what we've noticed is that with the customers that use the MinION product because there's a lot of MinION devices out there and they are usually a lower-volume customer. And actually getting those flow cells back from the customer is more difficult than it is with the PromethION. So we kind of have the stockpiles kind of ebb and flow essentially in terms of the amount of recycling that we do. It is also about what we are focused on internally in terms of manufacturing as well. So we can turn it up and down. So this is in our control. So we can kind of look to increase or decrease recycling rates as appropriate to ensure other factors as well, not just margin, but yes, there's nothing untoward. And we could increase it again. We can decrease it. It just really depends on where we are.
Unknown Analyst: Lovely. And then just as far as inventory is concerned, just wondering about how much more reduction there's a possibility of there?
Nicholas Keher: Yes. So it's a big focus from the Board all the way down to essentially manage our inventory levels. I think it's fair to say that we can still work through. So we reported an GBP 80 million number, but there is clearly provisions on that as well. So the gross number is actually higher. And there is an ability to work through this inventory position over the coming years, particularly with a focus on the MinION flow cell range, whilst maintaining the PromethION where it is. And there are varying things that go into this. One is yield improvements. The better our yields go up, the less product that we're going to need, it means we can work through the inventory level. The other one is recycling rate, which actually hurts the inventory level. Because the more you can recycle, the less we chew through on an inventory perspective as well. But as we look forward, there is absolutely scope to further improve and reduce that inventory level by tens of millions over time on a gross level. And as I think we've talked to you before, we've got cash stored up there. We should unlock it.
Unknown Analyst: Absolutely. Well done, Gordon. It's a long time since our first IP to IPO investment.
Miles Dixon: Miles Dixon from Peel Hunt. Three quick questions, if I can. Firstly, on the restructuring programs. Nick, you already talked about the focus, but forgive me, I don't have the numbers in front of me. It looked like the headcount and the cost was broadly the same in R&D. So does this mean what's really changed? Are we seeing more go towards pre-existing chemistries and products? And is it about less going into proper blue sky research? And relatedly, we saw a really passionate presentation about the proteomics product at the London calling event. What really are you thinking about in terms of the time line to offering from a product like that? And if you can give us a clue on what kind of spend in R&D might go towards something like that, that would be great. And then finally, on the clinical definition. You clearly have seen a 60% increase in sales into clinical, but what really constitutes clinical because a very significant chunk of that revenue might actually be a clinical research application. I just want to get a bit of a better understanding about that.
Nicholas Keher: Okay. Probably the third one is easiest if I just take that one first, which is, well, how we define clinical and the customer base that's in there, is anybody that's using the technology to provide a diagnosis to patient. Now clearly, we don't have like complete understanding of what everybody is doing with all of our technology at any one time. We're working on that. And once we get that, I think that will be quite interesting for us to be able to segment our marketing approach as well. So what we have to do is just look at how the customer is paid. So essentially, when we're selling these products to customers that are essentially in the clinical space who make their money from essentially providing diagnosis to patients as well. That's how we have to define it. So there could be a mix at times with like translational work that's in here because there's always going to be a bit of grayness about how they overlap. You're never going to have perfect reporting on this, unfortunately.
Gordon Sanghera: Just on that, Nick, because there's diagnosis, but there's also a screening. So just to be very clear, right? The bulk of the revenues come from LDT clear-waved where the physician signs off on the test, not Oxford Nanopore providing a diagnostic tool and workflow.
Nicholas Keher: Sorry. Yes, very good just catch from a legal perspective. And then on the first piece for restructuring. So the -- if you look at the R&D headcount, there's a bit of a mix thing going on here as well as Gordon has talked to. So we've made quite significant investments in things like tech transfer and later-stage development opportunities. Also -- but have to -- the average headcount, bear in mind that we made a restructuring at the beginning of the year and reinvested in higher activities and things like late-stage development, quality manufacturing, which some of which sometimes fall in the R&D piece. And then towards the end of the year, in November and the head count reductions that happened there, you still see the average benefit come through. So actually, you will see a reduction in head count in R&D next year from an average perspective, but we are reinvesting. So we are going to -- we're not -- it's very important that you guys and the investors take away as well that we're not stopping innovation. We are absolutely investing in the technology to drive future revenue growth as well. What we're trying to do is just drive that prioritization. So actually, we get better return. And then proteomics?
Gordon Sanghera: So proteomics, I mean, we're very excited about the fact that we can map peptides. So true protein sequencing to come. But right now, we have what we call our early open access program request for information, and we've had some really exciting potential applications. So how much of that we can talk about because a lot of them are biopharma customers. But there's a lot of excitement. I mean, all GLP ones are like a bunch of peptides, right? And we can now read them directly at the single molecule level. Nobody else can do that. That's quite transformative. And we're just finding our feet through that early, early open access program where and who can do some interesting things to start to show where the potential market is for this novel method of leucine protein peptides.
Nicholas Keher: In terms of just on the cost piece as well. So single-digit millions today. But the thing is with all -- this is a platform technology. And so whilst it might be directly single million pounds essentially on this is because the broader technology is already there to essentially build on the back of.
Miles Dixon: I guess what I was asking is are we really thinking about a 2- to 4-year application? Or is it a 5- to 10-year application for those type of offerings on the platform, if you like?
Gordon Sanghera: Pure-play protein sequencing is medium term, so 3 to 5 years. But peptide mapping, there are some revenue opportunities sooner rather than later. We just don't know what they are because we're creating a whole new market space and a whole new sensing element. We've just got to work through that. But we're not getting -- we're getting some brilliant lone wolf academic applications, but we're also getting some big corporate interest -- a lot of corporate interest. So it will go faster than I think DNA burn down was, but hard to predict right now.
Miles Dixon: And just reiterating like everybody else, congratulations Gordon.
Andrew Whitney: It's Andrew Whitney from Investec. If I could just follow up on Miles' question. Just thinking about the philosophy of the business as a whole. I think does the slight tweak to near-term spending, does that mean you are staying focused on nuclear basis for longer before you go off into sort of proteins and metabolites, right? Should we be thinking about you into the midterm as a nuclear-based business more than we were before? Or are the time lines on some of those things unchanged? They're not really dependent on near-term spending, right? They're dependent on market opportunity or whatever it is. So should we be thinking nuclear basis for the foreseeable future and put all of our thinking into that? Or is there something else there? And then my other one was just I think you mentioned some senior recruitment and maybe it's for thinking about when Francis has arrived, but where do you think you need to put people?
Gordon Sanghera: I'll answer that one first. As manager this season and not here next season, I'm not about to start telling Francis who he should recruit. That's called Tottenham Hotspur. We can see what a mess that is, right? But in regard to I mentioned volatile organic compounds and small metabolites, we made a decision strategically to do biology or chemistry. We chose biology. So we've done DNA and 5 years later, we did RNA. Now we've got some really great opportunities in peptide mapping. So that's the beginning of proteomics in a very different way to everybody else, which is mostly mass spectrometry, and then protein sequencing will come. So we haven't made a conscious effort to go after chemistry right now. So we're not distracted by or inhibited by not doing chemistry. We are focused on multiomics and biology. And that's very much been the strategic rationale from day 1.
Nicholas Keher: Can I just add to that as well on that because it speaks to Miles' question. We are doing a lot of thinking in the space about actually what the right product would be for the protein at the end markets we're going at. So we're getting very focused in terms of even what does the features and benefits of this specifically need to do to win. So essentially, we're really -- because again, there's loads of applications you could take this into. So if the peptide sequencing piece or a whole protein sequencing, so the peptide piece that Gordon just spoken to, we're looking now at the applications, what does it need to do to win, make sure the product can do that, make sure it's ready for launch and get a better launch profile when we actually go for it as well. And it's probably Duncan's best place to answer.
Duncan Tatton-Brown: Perhaps as the coach, the departing coach can't comment, maybe I'll say a few words. I mean as a Board, I think it's very clear in this business that the quality of talent, the capabilities, particularly in research and development has been obvious to the Board for some time, a real credit to Gordon and others for building that up. I think real progress over the last couple of years of building out strength in the commercial team, again, my credit to Gordon to bringing real talent into the business. I think the executive team now has a few gaps. So I think Francis has an opportunity to bring in some more talent to grow the business over the next few years. But I think there's a lot of talent in the business, and it's just some gaps at the senior level. So it's quite encouraging, the opportunities ahead.
Andrew Whitney: Congratulations, Gordon.
Nicholas Keher: We've got a couple of analysts who've dialed in. So I think we've got about another 5 minutes if we could take 1 or 2 of those please, Sergei.
Operator: Sure. The first question is from Kyle Mikson from Canaccord.
Kyle Mikson: Congratulations, Gordon, and look forward to speaking with -- meeting with Francis soon. So I have 2 questions. I'll lump into 1 here. First is on device revenue in '26. Just curious if you could kind of parse out shipment expectations for the year as you go through this P2S to P2i conversion and other things and also the pricing tailwinds maybe from the CapEx model that I would have thought have rolled off at this point, but maybe that's providing more of a benefit this year as well? And the second question I have is about the clinical end market that grew nearly 60% in '25, You're obviously taking steps to continue your strong execution there, but is that becoming a more competitive space with long-read competitors, short-read competitors doing more in that market that maybe got more challenging to grow at that level going forward?
Nicholas Keher: So I'll just take the first one on device revenue in '26 and what we're expecting there. I think you're right that actually, we are going to see continued benefits from the pricing model. It is an important piece to call out that when we changed the pricing model at the beginning of '25, actually in January, if people remember, and it went live in February, we did obviously take our customers a bit off guard here in terms of moving from placing the device for free to essentially charging for the device instead. And that meant that we actually had a bit of a slowdown in device placements during the entire '25 that from the data we're seeing, it looks if it should reverse in '26. So we may -- I think we will see higher overall device revenue growth again in '26 than consumable pull-through. No doubt we'll get that wrong. But in terms of how we look at it today, that's exactly what we should expect. And again, from a pricing tailwind benefit, we're still going to see a bit more on the margin here. There's some real fun stuff in deep accounting that I'll take people off-line on in terms of why that could be and why it will benefit margin, but particularly on the larger devices that we should see improving gross margins overall. On the second piece in clinical end market growth and competition that's kind of coming in there. Clearly, there are new competitors entering the market. I know Gordon will definitely have a view on this as well. But I think it's important to recognize why we are growing even against the legacy conventional technologies that are out there, be them short read or long read. It's the richness of information that you get from Nanopore sequencing, the direct data that you get from looking -- direct DNA, RNA, the methylation, the long read, the structural variations you get all rolled into one that essentially is meaning that we can win today as well as the turnaround time. So those don't change from the evolving landscape that we can see in front of us today. So no reason why we should necessarily slow down. And again, when I look at the Americas growth rate and I look at the customers that are evaluating or underpinning that growth, there are some big names in the clinical space that are looking at this.
Gordon Sanghera: Kyle, I think the competitive landscape is a real positive for Oxford Nanopore. The fact that Illumina has finally agreed long reads are important and they've launched a synthetic long-read play. This is the fourth one, I think. So good luck with that. We have native long, ultra-long, super long, short. So we can give you any relength you want on native DNA. The fact that methylation has also come to the fore and they are launching a methylation profiler as well, again, is recognition that, that 20,000 publications and the foundational work that we have laid down on multiomics is important. So from our perspective, bring it on, native, direct, all in one read and one price will outperform the market. So we look forward to that landscape, that competitive landscape and how we are superior as a tech.
Operator: Thank you. Unfortunately, that's all the time we have for questions today. With this, I'd like to hand the call back over to Gordon for closing remarks.
Gordon Sanghera: I think just thank you, everybody, for your time today and over the last couple of years and see you all in 6 months with Francis and Nick leading the charge. Thank you, everyone.